Operator: Welcome to the FMC Technologies First Quarter Earnings Analyst Call. My name is Christine and I'll be your operator for today’s call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Mr. Brad Alexander. Mr. Brad Alexander, you may begin.
Bradley Alexander: Thank you, Christine. Good morning, and welcome to FMC Technologies' First Quarter 2014 Earnings Conference Call. Our news release and financial statements issued yesterday can be found on our website. I would like to caution you with respect to any forward-looking statements made during this call. Although these forward-looking statements are based on our current expectations, beliefs and assumptions regarding future developments and business conditions, they are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in or implied by these statements. Known material factors that could cause our actual results to differ from our projected results are described in our 10-K, 10-Q and other filings with the SEC. We wish to caution you not to place undue reliance on any forward-looking statements, which speak only as of the date hereof. We undertake no obligation to publicly update or revise any of our forward-looking statements after the date they are made, whether as a result of new information, future events or otherwise. I will now turn the call over to John Gremp, FMC Technologies' Chairman, President and CEO.
John T. Gremp: Good morning. Welcome to our first quarter 2014 conference call. With me today is Maryann Seaman, our Chief Financial Officer. I’ll discuss highlights from the quarter. Maryann will provide specifics on our financial performance and then we’ll open up the call for your questions. Earnings were $0.57 per diluted share for the quarter, total company quarterly revenue was $1.8 billion and operating profit was $245 million. Subsea Technologies recorded a strong level of inbound orders in the quarter totaling $1.9 billion which included 16 subsea trees. Segment backlog now stands at $6.8 billion. Revenue for the quarter in Subsea Technologies was $1.2 billion, an increase of 10% over the prior year quarter. As projected our subsea margins were down sequentially, but increased from the first quarter of 2013. We expect this trend of improving margins to continue through the remainder of the year, as both our execution, and margins and backlog continue to improve. Our subsea inbound included the Jangkrik Subsea System Award in Indonesia for ENI. The total value of this award could exceed $700 million. We also recorded the inbound for BP’s Shah Deniz projects in Azerbaijan late in the quarter. The Shah Deniz award includes four subsea manifolds associated controls and connection equipment and is valued to more than $300 million. We remain confident and our expectation of receiving more than $5 billion of subsea awards in 2014, and subsea order exceeding our subsea revenue. Given our company’s exposure to deepwater, I want to address the outlook for future subsea activity and growth. Clearly the pressure to improve returns and demonstrate more capital discipline has driven the E&P companies to look at their development plans differently. What is not different is their commitment to developing their extensive deepwater opportunities. The recent as well as historical discovery success in deepwater explains why deepwater development is so important. Over the past six years, more than half of new reserve discoveries were in deepwater, and last year, nine of the 10 largest discoveries were in deepwater. Today deepwater exploration success has led to a record inventory of undeveloped deepwater discoveries. Half of new oil production is expected to come from deepwater. For many IOC’s certain large independence and NOC’s like Statoil and Petrobras more than 50% of their new production will come from deepwater. The focus now is to improve the returns associated with developing and producing these discovered reserves. I believe there is real confidence that the returns can be improved and it's being demonstrated by the continued strong outlook for deepwater development activity. We believe three awards excluding Petrobras will increase year-over-year. And the announcement of several major project – Subsea project awards early this year including the industries record largest Subsea award also supports the confidence. The need to improve of capital returns on these deepwater projects has created an opportunity for our company to provide standardized solutions in both lower development costs and accelerate first oil production. Our success in standardization has helped several of our partners achieve industry leading returns on the most challenging deepwater projects. We expect more operators to adopt a similar approach to their field development. Our technology and experience in improving operator returns over the life of the field is what drives our Subsea processing and services technology development. These new technologies not only reduce costs, but improve production and recovery rates all of which contribute to improve returns. Now let me return to the results for the quarter. Subsea services activity delivered positive results despite the seasonal slowdown in the North Sea and two of our light well intervention stacks being out of the service while receiving their five-year recertification. We experienced strong sales in the first quarter driven by activity in all the basins particularly the Gulf of Mexico. We expect growth in subsea service revenue to outpace our traditional subsea project businesses. The significant growth in Subsea awards over the past two years has raised Subsea supply our backlogs to record levels and continues to support a positive pricing environment. 2014 as poised to be another strong year for the subsea industry. West Africa should be stronger year-over-year, while other regions including the Gulf of Mexico, the North Sea and Asia-Pacific remain at solid levels. Early indications are that the market in 2015 should remain strong as operators continue to focus on developing their deepwater portfolios. Our Surface Technologies segment reported solid results with both strong orders and revenue in the first quarter. Our international surface wellhead business continued to deliver solid performance and this included a significant order from Pemex. North America orders increased in the quarter, fluid control was able to convert some of these orders into revenue as operators restock their depleted inventories. This activity positively impacted the segment margins. Looking forward the subsea market remains healthy as recent Subsea awards early in the year demonstrated. The significant portfolios of deepwater opportunities, we believe operators will continue to develop these discoveries. Our technologies, capacity, and experience position us to help our clients to improve deepwater returns through lowering cost, improving production recovery rates, and reducing lead times. Margin in our subsea backlog have been improving for the last two years and with industry capacity type we expect this to continue throughout 2014. In Surface Technologies we see improving results in the North American market, while we continue to expect our international surface wellhead business to perform at record levels. Overall we believe we positioned ourselves to deliver better results from all of our businesses and continue to be a leader in the markets we serve. Maryann will now take you through some of the financial details for the quarter
Maryann T. Seaman: Thanks John, Our operations performed well in the first quarter Subsea Technologies operating profit was a $142 million in the quarter, with the margin of a 11.8% Subsea Technologies operating margins improved 290 basis points year-over-year with operating profit increasing 45%. Sequentially margins were down as forecasted this is due in part to the recertification of two Light Well Intervention stack which takes a net of operation and the seasonal impact of the North Sea service work. As expected both stacks returned to service in the second quarter. The year-over-year operating profit improvement reflects better margin projects rolling from our backlog and increased service activity in the Gulf of Mexico is the timing of activity in this region was favorable. It also reflects the progress made toward overall improved execution and the cost reductions that resulted from lower headcount in the Eastern regions. Headcount reductions that occurred in our Eastern region resulted in severance charges as we indicated what happened last quarter, we should benefit from these actions through the reminder of the year and see quarterly margin improvement in the next three quarters. Moving to our Surface Technology results Surface Technology operating profit for the first quarter was $88 million a 53% increase from the prior year quarter, margins in the quarter were 18.3%. North American Fluid Control orders was stronger than we initially anticipated the improved sales related to repair and replacement as operators restock their inventories this activity was weighted towards the back half of the quarter. Our international Surface wellhead business continue to perform well as activity grew year-over-year our backlog growth supports the strong revenue performance that we expect to continue through the year. We expect Surface Technologies second quarter margins to decline sequentially due to our Canadian exposure. Third quarter margins are expected to recover. The sustainability of Fluid Control activity we experienced in the quarter is difficult to gauge but land activity growth has provided us with greater confidence of delivering full year segment margins around 16%, which was the high end of our previous full year guidance range. Orders for Surface Technologies for the quarter were $527 million as both Surface wellhead and Fluid Control delivered year-over-year growth. Backlog exiting the quarter stands at a record $790 million for this segment, this supports our continued confidence in our full year revenue and operating income growth expectations. Energy Infrastructure operating income for the first quarter was $16 million with the margin of 10.7%. This was primarily due to our measurement solutions and loading system businesses. We recently announced our intent to divest our material handling business from the energy infrastructure segment we expect this transaction to be completed in the second quarter. We have excluded estimated earnings from the business as well as the anticipated gain from its sale in our full year earnings guidance. Let me turn to the corporate items. Corporate expense in the quarter was $14.9 million we expect this expense to be approximately $15 million for quarter throughout 2014, other revenue and expense net reflects expense of $19.7 million. We expect this to average $18 million to $20 million per quarter in 2014 subject to foreign currency fluctuation, included in our full year estimates and guidance is expense of $21 million or $0.06 per share associated with the pension plan de-risking, the majority of which will be incurred in the fourth quarter. Our fourth quarter tax rate was 33.2% which reflects a different mix of earning than we previously expected. We now anticipate our 2013 tax rate to be between 32% and 34% for the full year. Capital spending this quarter was $92 million primarily directed toward Subsea Technologies expansion initiative. We expect capital spending in 2014 to be approximately $400 million. At the end of the first quarter, we had net debt of $1.1 billion comprised to $290 million of cash and $1.4 million of debt. We averaged 237.8 million diluted shares outstanding in the quarter and we repurchased 899,000 shares of stock during the quarter at an average cost of $50.98 per share. So in summary subsea margins in the quarter were improved from last year, we are executing better and the orders we are converting have better margins. We are also seeing the benefits of our cost reduction initiatives. First quarters subsea margins for Surface Technologies was strong as our international surface wellhead business continues to perform well, and we saw sales activity in North American Fluid control increased in the later part of the quarter. Looking forward our guidance range of $2.55 to $2.75 excludes the material handling business from our energy infrastructure segment going forward, and the anticipated gain we expect to recognize associated with the sale. This range also includes the cost associated with our pension de-risking. We are confident that our subsea revenue and orders will exceed $5 billion in 2014. We continue to expect subsea margins to improve as we progress through the year and continue to forecast Subsea Technologies margins to average between 13% and 14% for the full year. Surface Technologies margins should be around 16%, the top end of our previous guidance for 2014 and full year North America activity should come in near the high end of our previous expectation. So with the solid start to the year, we have increased confidence in our ability to deliver these full year results. Operator, you may now open up the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from Robin Shoemaker from Citi. Please go ahead.
Robin E. Shoemaker – Citigroup Global Markets Inc.: Thank you, good morning.
John T. Gremp: Good morning, Robin.
Robin E. Shoemaker – Citigroup Global Markets Inc.: I wanted to start with Surface and the restocking that you sited that occurred making the quarter which clearly help that we saw. Is that a early sign of recovering, in other words, it has been quite impressed, so does it continue – do you continue to see that phenomena in the second quarter and with the ongoing increase in the rig count and how would you expect that to play out if it is a restocking, when would they be restocked I guess.
John T. Gremp: Well, Robin it’s certainly a good sign I’m not sure yet if it’s an early sign. Our fluid control business is one step back in the supply chain. And so you need to be a little bit careful about how the pressure pumpers are going to flow the orders through. But it’s certainly a good sign, I’m not sure yet if it’s an early sign what we want to do is see a couple of more months, a couple of more quarters, with that level of activity exist. And then I think we would be in a position to call it an early sign and realized it sustainable. But right now, well I think it’s just a good sign, not necessarily an early sign, we are encouraged by the pressure pumpers optimism no question about that. We just want to make sure, but that’s materializing in a steady stream of high level activity to fluid control.
Robin E. Shoemaker – Citigroup Global Markets Inc.: So its sounds like the 16% the upper level that you had guided or was the effort of your guidance that looks like an achievable number for this year based on what you’re seeing.
John T. Gremp: Absolutely.
Robin E. Shoemaker – Citigroup Global Markets Inc.: Yes, okay. And on the – just wanted to go back to the issue was discussed at the beginning of year-on-year on your call about the backlog conversion in subsea this year. Do you still expected to be lower than it normally as at around the 50% level for 2014?
John T. Gremp: Yes, we do. Historically it’s been around 60%, we have been pretty consistent in saying would be lower than that in 2014 primarily driven by the multiyear Petrobras order which doesn’t flow through the P&L in a year or year and half a close over four years. So yes, more in the 50% range for 2014, but Deniz we get into 2016 we start to see an approach the 60% level that we’ve historically had.
Robin E. Shoemaker – Citigroup Global Markets Inc.: Okay, good. Thanks very much.
Operator: Thank you. Our next question comes from Bill Herbert from Simmons & Company. Please go ahead.
Bill A. Herbert – Simmons & Co. International: Thanks, good morning. John, I was curious about your observation that, the early walk into 2015 with regard to tree orders looks encouraging. I’m just curious, how you think about that this for the next call it two or three years if you will, record backlog with deepwater discoveries continued resilience with regard to IOC in deepwater, NOC prosecution of deepwater developments notwithstanding all the negative rhetoric, also you just right size your business in the Eastern region as well. So for planning purposes are we think about kind of an annualized tree award world of what by 400 per annum going forward, how do you think about that?
John T. Gremp: The way we think about it, let me just take the real high level for a minute Bill and was in my, obviously in my prepared remarks. The number of undeveloped discoveries and inventories is a record level. And in every conversation that we have with the operators is their intent to develop that portfolio and we need to help them do that by working on improving returns. I think the way, I look at it in the future is that’s going to be accomplished. And we look at the Total Block 32 Kaombo project it’s almost a poster trial. But here is a huge project that could have been problematic in terms of cost, local content in Angola and yet that project was able to be reworked and looked out into different way fairly, quickly and would be allowed to proceed with good returns and they awarded early this year. And I think that was going to happen going forward is that these – this inventorial portfolio of deepwater discoveries will be – those that are challenged in terms of the returns will be reworked, and the operators are proceed to develop their discoveries. Now, what were the number look like, I think if you took 500 or so trees that we had last year, you backout the 180 for Petrobras, yet to a 400 range, and then going forward we’ll see growth of that 400 in the high single-digit range going forward. And that matches up nicely with the number of deepwater discoveries that need to be developed and production increases and so forth. And that’s how we envision it going forward over the next two or three years. And that’s in term you mentioned a little bit about our capacity and that’s what we’ve planned for is that kind of growth going forward. And based on the 2014 results, the list of named projects major projects in 2015, it supports that kind of high single-digit growth off of a base of 400 trees going forward.
Bill A. Herbert – Simmons & Co. International: Okay, that’s very helpful. If not encouraging, Maryann with regard to fluid control and surface in general just given what happened to surface margins which were considerably better than, I think most expected, is it safe to say that fluid control revenues grew by something along 20% to 30% year-over-year?
Maryann T. Seaman: Yes, hi, Bill yes. So fluid control, as you know last fourth quarter, we saw a little bit of weakness last year, and we’re little conservative kind of going into the first quarter. But we certainly saw as I said in the later part of that quarter, fluid control improving. So yes, we saw double-digit growth there in the fluid control topline. We are little conservative I’d say in terms of as John said what that will be for the rest of the year. We’d like to be able to see some continuation of that before, we get too aggressive in the back half of the year. But we saw strong growth year-over-year in double-digit.
Bill A. Herbert – Simmons & Co. International: And so given the improvement in North American revenues and operating income going forward, I know it’s early, but I’m just curious with regard to 2015, how should we think about the tax rate, high 20s, low 30s, where would a sort of prudent analyst be I guess positioned on the tax rate front for next year?
Maryann T. Seaman: Yes, so as you heard me say, we’re looking at a slight pick up this year, and it’s largely driven by earnings mix. There is a couple of tax changes that are going on in Europe, U.S., but probably somewhere in that low 30s just depending on how we see that mix going forward, would be where I would suggest a prudent analyst to look at that.
Bill A. Herbert – Simmons & Co. International: Okay. Thanks very much.
Operator: Thank you. Our next question comes from Jim Crandell from Cowen. Please go ahead.
Jim D. Crandell – Cowen & Co. LLC: Good morning.
John T. Gremp: Good morning, Jim.
Jim D. Crandell – Cowen & Co. LLC: John with the alliance between Baker Hughes and Aker announced just recently to develop technology for subsea production. Now some of your customers now forming alliances. In your opinion is that becoming more likely that the industry is going in that route and then FMC will have to respond in someway to that?
John T. Gremp: Jim, I think what is it most likely is the subsea production companies will respond to the need by the industry to optimize subsea production systems, lower cost, improved production and recovery rates and that’s – that is what’s likely, how we go about doing it I think may differ by company to company, forming alliance I think is a good idea not necessarily with an Oilfield service company that maybe the way that we view it is by forming alliances to achieve that with our customers to the operators. And we’ve been pretty successful in using those alliances with the operators to define and develop a new technology that’s required to improve Subsea production system efficiency deal with the challenge of improving production or recovery rates, lowering the life of field cost. And I think it’s using those relationships that’s been the foundation of our company’s strategy which is to develop the technologies for the companies need, develop the subsea processing capability to help improve recovery rates. And to develop the expanded subsea services including Riserless Light Well Intervention, so operators can cost effectively go back into interventions and recovery. And it’s worked for us, it’s what allowed us and created our leadership position in those subsea processing and subsea services. So I think rather is it likely that more these kinds of relationships that we see with Oilfield service companies, not in our case. What is more likely is that we will even more aggressively pursue developing the technologies that the operators need, expanding our leadership position in Subsea processing and expanding our position in Subsea services. So for us I think we’ll pursue that option much more aggressively than some other kind of alliance to achieve the same thing.
Jim D. Crandell – Cowen & Co. LLC: Okay, that’s a thoughtful response John, thank you for that. As a follow-up you have spoken I think on the last call about different many subsea projects that they would be coming only two companies involved in the bidding and even the pre-engineering stage, and given that is already happening, is it disappointing to you to miss the large Kaombo water or is there so much business out there the fact that competitor will probably be really pretty occupied with this major project that capacity of he and then maybe another company will be flown, it just increases the – your optimism on pricing going forward?
John T. Gremp: Right, well first of all I think I mentioned early that they awarded Kaombo are actually is very positive for the industry. Because it says the industry on fairly short order and short order is able to rework projects, boost the returns and proceed. So they have the world’s – the industries largest Subsea production order 2 plus billion dollars in West Africa get awarded, so really by historical centers, so quickly as a real positive for the industry. And so that example of I think what we can expect to happen in the future. Now, the answer to your question more directly are we disappointed, first of all we were very interested in the Block 32 Kaombo project. Why because we are the primary supplier to Total, we’ve delivered most of it not all, as many of the Total projects in West Africa, they have the highest level of local content in Angola and we were extremely well positioned plus I think we had the most demonstrated available capacity to handle such a significant order, that’s 65 trees with the first deliveries in just next year that’s a huge task. And I think our company was probably really the best position to accomplish that. So we saw a lot of things in our favor and we’d very much I’d like to participate on Kaombo, but we also realize that the market certainly coming off of two extraordinary years 2012 and 2013 and then strong order outlook for 2014 and 2015, we realize that the market was going to continue to be tied and filling up our backlog, our available capacity with the project that maybe the margins weren’t as good as we envision they can be in the future wouldn’t be a wise choice. So we’re not willing to expect to fill up our backlog at less than optimal margins that we think are available in the market today. And the results was disappointing, but we have many other options to continue to grow our business and this will in fact I think two of them arguably the most aggressive subsea suppliers now are very, very loaded and the awarded block 32 that one of them makes that situation even more solid. So I think going forward competitive pricing environment will continue to be positive as a result of this one.
Jim D. Crandell – Cowen & Co. LLC: Okay. Very good. Thank you, John.
Operator: Thank you. Our next question comes from Byron Pope from Tudor Pickering Holt. Please go ahead.
Byron K. Pope – Tudor Pickering Holt & Co. Securities, Inc.:
John T. Gremp: Right, Byron the strong unannounced projects were driven as they usually are through our alliance partners, a lot from the Gulf of Mexico, the size of the Gulf of Mexico projects because it’s not a production showing contracts environment and so forth, tend to be a little bit smaller, there tend to be more step outs because of the exiting infrastructure. So I think the unannounced inbound for the first quarter was – look pretty much like our usual suspects, Partner awards, Gulf of Mexico awards. And then follow on projects some of which were in West Africa projects that we had already won. So and then as Maryann point out, pretty strong subsea services despite the fact that we didn’t have recertification. So we had the two stacks being recertified. So strong subsea service. A lot of smallish awards from our partners, strong Gulf of Mexico and then follow on business from our big projects we had previously won internationally.
Byron K. Pope – Tudor Pickering Holt & Co. Securities, Inc.: Okay. And then and thinking about subsea services, it’s kind of like the Gulf of Mexico was particularly healthy on the subsea services side. As you think through where to deploy that fourth Light Well Intervention stack it seems as though you guys are looking at the deepwater golden triangle, at this point just given the health of the U.S. Gulf of Mexico are you leaning toward that fourth vessel coming to the Gulf as opposed to West Africa or Brazil?
John T. Gremp: Byron, it’s been ago whoever signs the first contract for us, so but I think you are on the right track that we’ve had a number of really important conversation with operators in the Gulf of Mexico are very interested. So Gulf of Mexico certainly a likely candidate, that fourth stack is going to go and wherever we can get our first contract.
Byron K. Pope – Tudor Pickering Holt & Co. Securities, Inc.: Okay. Thanks, appreciated.
Operator: Thank you. Our next question comes from Ole Slorer from Morgan Stanley. Please go ahead.
Ole H. Slorer – Morgan Stanley & Co. LLC: Thank you very much. Could you remind us again how many trees just say that you booked in the first quarter
John T. Gremp: 16.
Ole H. Slorer - Morgan Stanley & Co. LLC: So,16 trees. And you mentioned that the Kaombo of $2 billion was 65 trees. Yet you booked $2 billion on 16 trees. So could you discuss a little bit the nature of your backlog? There seems to be something going on here which disconnects your business from trees?
John T. Gremp: Well. Our business has been disconnected for trees for several years now and we have moved to become a full subsea system supplier and to strengthen our ability to develop manifolds and the connection systems that’s really where we sort of pulled away from trees being kind of the governor of our inbound activity. And you can see that all maybe the last four or five, maybe around that five or six years where the revenue per tree has consistently grown. And I think the first quarter was a really good example of that I give you a specific, as you know we have frame agreement with BP. The big shot in these projects we’ve been working with BP on for long time. BP also has a frame agreement with the one Subsea they chose I think wisely chose to split up their projects is so large and critical to them. And the tree award these are more repetitive trees, I think started maybe something that the one Subsea that’s a one Subsea would be more interested in. And then the more technically complex manifold system is what went to us. And so we got as I think was pointed out on the comments well in excess of $300 million up from BP Shah Deniz for the manifolds and connection system with no trees associated with them. And that’s been a pattern you see the same thing in Petrobras where the bulk of Petrobras’s manifold requirements come to FMC again driving the revenue per tree number up that’s what’s going on there.
Ole H. Slorer - Morgan Stanley & Co. LLC: So is this way out of kilter here in the first quarter or is this a fair kind of estimate of what we should expect going forward? And we're talking about revenue per tree, but it's not really revenue per tree, it's different streams of revenue, some as trees?
John T. Gremp: Exactly that’s why I think we have to probably stop talking about revenue per tree.
Ole H. Slorer - Morgan Stanley & Co. LLC: I would never think you're liable as [Tonio Coal] (ph) seems to be oodling on about how many trees they're going to book. Can we just talk about really what's going on in your business?
John T. Gremp: Yes, first about trees and then it’s more about Subsea Systems and that’s for the revenue on the first quarter show that it is a little out of kilter to win a 300 plus million project manifolds only that’s unusual. And that’s because BP shows to separate the trees from the manifold on the award normally you wouldn’t see that, normally you would see the entire infrastructure, the entire project trees and infrastructure being awarded to one supplier. So I think the first quarter was a little bit unusual.
Ole H. Slorer - Morgan Stanley & Co. LLC: Turning to subsea processing. A year ago we called around mostly potential customers and there seemed to be sort of a wait and see attitude towards using this technology. What is your sense now in terms of new customer adoption rate? People looking at it?
John T. Gremp: Right I think we move beyond wait and see I think most of the operators have adopted this technology some are little faster than others of course. But most of them have adopted it. When you look at the operators from 2014 2015 and beyond who have main projects where they are considering it is across the board it is virtually all of the IOCs and a significant number of the independent team and some are the smaller ones they are operating in the Gulf of Mexico are now not just considering that are including Subsea processing alternatives in their design concepts for developing the deepwater fields. The phase of awards for processing is now less about adoption rates and more about a natural if you will lag time from venue are starting to consider subsea processing and alternating your design select phase of deepwater development, which can precede an actual tender and award by three years that’s what’s happening. And I think that’s why in 2013 and maybe even in 2014, you are going to see maybe a more modest number of subsea processing projects, but then as we look out to 2015 and 2016 you see that lag time start to catch up and the number of projects started to increase. I think that’s what we’re dealing with here as natural lag time not so much an adoption rate.
Ole H. Slorer – Morgan Stanley & Co. LLC: And Brazil is hot topic at the moment; the drilling activity has gone down a lot year-over-year. Could you talk a little bit about, work over activity and other activity, completion activity if there really picking up? So what are you seeing in Brazil when it comes to some of these new technology, is that a focus area or it’s a little about trees in Pre-Salt?
John T. Gremp: Petrobras has a long-term vision in terms of developing technology and we’re working closely with them to help develop those new technology. So they do have a longer-term vision that we’re actively working on something like four, five very specific projects with simplest that R&D and on the Petrobras to develop these new technologies. But it’s very forward thinking. They are talking about technologies that we required in 2020. In the sort-term Petrobras is very focused on proceeding with Pre-Salt. I think that’s they’re just moving forward with Pre-Salt included I think in some of our inbound was more Subsea Manifolds work fell below the threshold. They are proceeding with acquiring the hardware that they need to develop Pre-Salt and I’d say that’s where their focus is right now. But in terms of technology nothing installed, it’s just further out.
Ole H. Slorer – Morgan Stanley & Co. LLC: o they're sort of Marlim's still a pilot, et cetera despite being very successful at connectivity, it's put on the back burner at the moment?
John T. Gremp: I think it is on the back burner, but it’s not on the back burner because the technology is proven, the pilot on Marlim was the success. They proceeded with their evaluations on how to apply it in the campus basin. And now I think it’s in the larger Brazil capital priorities. Do they put their attention on Pre-Salt on boosting production from the more conventional fields? I think that the implementation of the Marlim activity is in the middle of their prioritization by Petrobras right now. And that’s kind a beyond my view is to when it’ll move up in the priorities.
Ole H. Slorer – Morgan Stanley & Co. LLC: And, sorry just one last one. You mentioned -- we've been through a capital freeze by the IOCs and that's never good news. But there's a lot of pressure on how to lower costs [as he] (ph) correctly. [High lack.] (ph) There's not just negotiating with rigging companies or – it's sort of negotiating with governments. So can you give us a little bit of your view on how this is going to get resolved? I mean you mentioned Kaombo and maybe you said as an example. What is it exactly that happened that make this project suddenly go from being not so attractive to very attractive?
John T. Gremp: Well, stuff is been in the press as they were on $15 billion to $20 billion project; they were $3 billion to $5 billion over their original plans, which got the returns. And they went back and we looked at their approach on using FPSO’s and they are using existing refurbished tankers to do the FPSO which took a couple of $1 billion out of the project they did some descoping on the Subsea production system which took some money out. And then they renegotiated with the national oil company on the level of local content and that system on it, that’s what I know. There is probably other things that they did to rework that project that they took something like $3 billion to $5 billion out of the project and made the returns acceptable. And I was disclosed that one on that just what’s in the press. But I’m closer to be BPs Mad Dog because we’re a partner with Mad Dog. And the same thing seems to be occurring there where they are reworking their development plans the number of wells that they drill they are revising their specifications after a more standard FMC industry spec is a oppose to a unique BP spec. And its adding a fairly dramatic effect on the capital with bill spend and its boosting returns and my understanding is BP is considering FID on Mad Dog later this year as a oppose as a result of reworking that project. So these are just two examples one I am little more familiar with the other but they are happening pretty fast and I think they are demonstrating which was in my prepared marks. They are good examples of how the industry is addressing the pressure they are under to improve returns it still proceed to develop their extensive deepwater portfolio.
Ole H. Slorer – Morgan Stanley & Co. LLC: So they’re not asking you to lower price.
John T. Gremp: Well, they…
Ole H. Slorer – Morgan Stanley & Co. LLC: Let me rephrase it are they asking for price or they asking for technology?
John T. Gremp: The problem with the price in our case because we’re dealing mostly with our partners they have visibility where our margins are. And they know that they can’t get the returns to where they be just by squeezing our margins. And I think there is a really good understanding of that and we’re not spending a lot of our time on shrinking the price because we know we can’t get there. And its there is a much, much more productive discussion early that is taking place. And everyone of our partners and even some were non-partners have come to our company and said John, how can we adopt more industry standards as a oppose to our unique company standards and specs. And if we do adopt industry standards how much could we say or maybe more importantly how much could we reduce the lead times one of the best way to improve the return on a deepwater project is accelerate your first oil date. And that’s the conversation that we’re having with Statoil with BP with Anadarko, with Shell, virtually every E&P company that we deal with that’s the conversation there has been some terrific movement by the operators to adopting our standard and with not only reducing their cost but improving their lead times that’s the conversation not about reducing our price.
Operator: Thank you. Our next question comes from Bill Sanchez from Howard Weil. Please go ahead.
William Sanchez – Howard Weil Inc.: Thanks Maryann, I wanted to just come back to the Subsea margin outlook here, just think about the 1Q I’m assuming that it probably came a little bit better than which also expectations were given the headwinds around that the downtime on the Light Well Interventions and the restructuring you guys are doing in the Eastern region. How we think about 2Q margins here should – is 4Q 2013 probably a pretty good both in terms of that recovery and just was at less negative impact that you guys saw on 1Q, do you seen that leading the 2Q or is it just you had a much better mix here on the sales side during the quarter.
Maryann T. Seaman: Hey, Bill. So sequentially 2Q of this year we expect to be improved over Q1 not a bad place to look at Q4. But keep in mind remember Q4 when we talk about it we have that $24 million tax adjustments. So if you want to, if you want me to exclude that tax adjustments which was favorable and in terms of your question about kind of a shifting we saw strength in the first quarter coming out of the Gulf of Mexico and in partner services, we’re optimistic. But we’re not sure whether it’s just timing right now. So first quarter was probably a little bit better than what we thought from a full year perspective back half will be strong, stronger than the first half but sequentially second quarter up from the first quarter in a meaningful way obviously as we don’t have the cost of the severance, we don’t have the recertification and we bring the North Sea back and the two intervention stacks.
William Sanchez – Howard Weil Inc.: Okay, I think a 4Q kind of clean margin was around 13.5% that’s probably not a bad starting point Maryann?
Maryann T. Seaman: You got a good memory Bill.
William Sanchez – Howard Weil Inc.:
Maryann T. Seaman: Yes so we had two things going as you know you are absolutely right we have excluded the estimated profitability from material handling – the material goes through as we expect. And as I mentioned we’re looking at a slightly higher tax rate. So yes, we are cautiously optimistic as I mentioned about our ability given the strength of the fourth quarter, the strength of the first quarter and top end of the guidance there when we think about Subsea Technologies as we look at this a lot of things going well. We certainly have more things that need to go well but a lot of things that we’ve been talking about are going well. So we should be at the top end of that Subsea Technologies margin guidance is similar – we think about surface as well.
William Sanchez – Howard Weil Inc.: I guess just one more just on just the Surface Technologies called out in the quarter here in North America strength was there anything relate to new products or new pressure pumping related equipment or just as all existing capacity, that’s just again looking for refurbs and upgrades here?
Maryann T. Seaman: Yes, no new product is existing and as existing equipment with refurbs and replacement but no new product sale?
William Sanchez – Howard Weil Inc.: Okay, thanks. I’ll turn it back.
Operator: Thank you. Our last question comes from David Anderson from JPMorgan. Please go ahead.
David Anderson – JPMorgan Securities LLC: So John you’ve been talking about standardization as a key for improving returns for a bit now that seems like it’s starting to catch on. I was curious on your outlook for kind of 2014 and 2015 subsea trees is that a material driver do you think as an encumbered incremental orders obviously we’ve seen a lot of delays out there. And also development projects is that something do you think that you kind of move that forward I am just kind of curious that you already booked about 40% of your current full year number in the first quarter as you are looking out. I am just wondering can the standardization kind of drive that higher this year or is that cover a little bit more of a longer term goal for you?
John T. Gremp: Well, I don’t I do standardization primarily, as the opportunity to help the operators to improve the returns and improve execution. And what a very unique position here, we’ve been talking about standardization as long as I’ve been in the business, so far decades. But getting a lot of operators stacks we move on that clearly has been challenge because of the pressure that they are under to improve returns for the first time it really feels like some of the operators are really serious about adopting industry standards and that creates an opportunity for FMC because of our size and scale. And the work that we’ve done in standardizing our product offering. We’re in a really good position to take advantage of the situation right now and push standards to operators who in the past have not use them. And it’s – because I mentioned in my earlier remarks I mean it’s compiling it can make a material difference in cost and ability to execute and improve returns. So I think it’s a real opportunity for our company to protect our market leadership position by promoting the standards. Now, incremental tree awards for the industry or for us, well it is to the extent that standardization is part of the solution from making some of these subsea projects have more acceptable returns. But I think for us it’s more really cementing, and protecting, and sustaining our market leadership position because we can use these standards to our advantage – to our competitive advantage in the market.
David Anderson – JPMorgan Securities LLC: Well, for some standardization might imply weaker pricing, can you talk about that and does that actually will need better margins or how should we think about kind of standardization as it relates to profitability going forward?
John T. Gremp: Yes, well I’m talking about standardizing on our standard. So it’s not – there is nothing out of our weaker margins and I think and in fact is just the opposite. When you look at our ability to execute, we execute better when we are executing on our standard product line. So I think in terms of better execution to the extent and that does obviously improve the net margins, I think it’s better.
David Anderson – JPMorgan Securities LLC: Okay. And my last quick follow-up here. Is that some chatter about kind of changing local content requirements to West Africa. Can you elaborate a little bit on that kind of – I heard there are some changes on the Block 32 award, how does this impact a country that just had impact on the Egina project or is that already kind of signed sealed and moving on from that.
John T. Gremp: Right, well it has no impact on the Egina project, that’s done, we’re actually well prepared for developing, assembling the trees in country and as well as doing a lot of fabrications. So that’s that no impact of all that’s done. I would be very careful about looking at the Kaombo situation and saying that local content is going to reverse itself. Local content remains very, very important aspect for the national oil companies and I think you just look at the size of Block 32 and maybe the uniqueness around that they were able to get some adjustments to local content requirement. But I’d be careful about thinking about that trend. How does it affect our company? Either way it’s fine. I mean we’ve manage to sell a developing real legitimate local content and challenging places has become a competitive advantage of ours. We’ve won a number of awards simply because the national oil companies favored us because we had the highest level of local content, and we are going to maintain that position. It’s the low content requirements of backed off at all I don’t think that will impact us one way or the other. But I don’t see them going away, it’s too important for the national oil companies.
David Anderson – JPMorgan Securities LLC: Okay. Thanks John.
Operator: Thank you. Our next question comes from Michael Lamotte from Guggenheim. Please go ahead.
Michael Kirk Lamotte – Guggenheim Securities LLC: Thanks and good morning.
John T. Gremp: Good morning, Mike.
Michael Kirk Lamotte – Guggenheim Securities LLC: First I’d like to follow-up on – good morning. First I’d like to follow-up on David’s observation 40% of your backlog guidance having been booked in the first quarter. Maybe John, if I could ask you to speculate on what could happen that to take that $5 billion number higher this year?
John T. Gremp: Well, first of all we are pleased that we’ve got almost $2 billion in the first quarter that sets things up nice, but it’s also because of the two very large projects firstly happen to fall early in the year, which is the way we like it because now it’s helps us on our conversion rates of those projects through the P&L. So that’s a good thing. We are – right now obviously with the $2 billion in the bank, we’re pretty confident of more than $5 billion. What could take more than $5 billion is really a couple of projects towards the end of the year that involve national oil companies in Africa and if those were to slip which as you know there inclined to do they could easily go into 2015. So I don’t think it’s really healthy for us to get too far ahead of ourselves in terms of the possible inbound when an order to get away above, but would require some major project awards late in the year that could very easily slip into 2015. So I think our guidance that the $5 billion plus is right for now, we got to see how these big projects – couple other projects that we’re looking at how they – where they fall.
Michael Kirk Lamotte – Guggenheim Securities LLC: Okay. You mentioned that in the first quarter too there was follow-on work from previously awarded projects. What's the cycle time and the visibility of that type of order?
John T. Gremp: It’s good; I mean these are our partners we’d have to wait for the envelope to be opened up to see who is going to win it. They’re almost always direct awards to us, so there is quite a bit of visibility.
Michael Kirk Lamotte – Guggenheim Securities LLC: Okay. So not necessarily a source of further upside and later in the year is where I'm going with that?
John T. Gremp: No, the upside later in the year will come from the timing of major projects that we’ve targeted and if they stand schedule and move up a little bit and they land in 2014 and there could be upside, but as you know they could just as usually and more likely slip to the right and land in 2015.
Michael Kirk Lamotte – Guggenheim Securities LLC: Yes. Okay. Thank you. And if I can ask a question on the surface side as well. It strikes me that surface wellhead business that you’ve been growing share, particularly overseas. I just want to ask about the strategy there, the value proposition that you communicate to the customers. And where you’re seeing the most notable impact and penetration.
John T. Gremp: The biggest impact has been in the Middle East, the activity is very strong, the equipment is used in the Middle East is pretty sophisticated for surface wellhead equipment, it’s usually – oftentimes is platform equipment actually in the Emirates anyway. And the kind of competition that we experienced in North America with a lot of smaller players doesn’t exist internationally, they’re not qualified maybe the barriers to entry are higher and so the competitive environment is quite a bit different for us internationally and particularly in the Middle East. And the type of equipment is a little bit more sophisticated, which is also barrier to entry. We’ve been operating in the Middle East for a long time to develop really strong relationships with E&P operators in the Middle East and that’s what’s driven our growth primarily in our international markets.
Michael Kirk Lamotte – Guggenheim Securities LLC: Okay. Thanks John.
John T. Gremp: Yep.
Operator: Thank you. And our final question is from James Wicklund from Credit Suisse. Please go ahead.
Jim K. Wicklund – Credit Suisse Securities LLC: Good morning, John.
John T. Gremp: Good morning, Jim.
Jim K. Wicklund – Credit Suisse Securities LLC: The biggest disconnect I have seen in my career seems to be timing between what the financial world thinks and what happens in industry. I'm just curious how long was Block 32 delayed? You said it was changed quickly and it was. How long was it delayed? A year or two? Six months?
John T. Gremp: No, no, no actually Egina was delayed longer than Block 32, I’m thinking back for the last year and a half we’ve been calling Kaombo is the potential for 2014. I’m thinking just a couple of months. And I don’t - Egina was delayed longer than Kaombo.
Jim K. Wicklund – Credit Suisse Securities LLC: Let me ask you a broader question how long do you think it will take, for the entire deepwater supply chain to adjust it’s cost efficiencies and practices which is what you are doing? Get back for the growth rate we’ve seen over the last five years?
John T. Gremp: I don’t think this is about the supply chain this is about and this is why, I use those examples of Mad Dog and Kaombo it’s wasn’t the supply chain that adjusted. It was the operators changing their development approach. It was Total deciding that they we’re going to use a different approach on the FPSO’s, it was BP deciding they we’re going to use a different approach on the field layout and the number wells they were going to drill. This is what changed Jim not the supply chain.
Jim K. Wicklund – Credit Suisse Securities LLC: Okay, so then we can seen much faster change than you have to see if you are expecting supply chain?
John T. Gremp: That’s my belief
Jim K. Wicklund – Credit Suisse Securities LLC: Okay, thank you all very much. I appreciate it.
John T. Gremp: You’re welcome. Yes thanks.
Operator: Thank you. Would you like to proceed with any closing remarks?
John T. Gremp: Yes Christine. This concludes our first quarter conference call. A replay of our call will be available on our website beginning at approximately 2:00 PM Eastern today. We will conduct our second quarter 2014 conference call on July 23 at 9:00 AM Eastern Time. If you have any further questions, please feel free to contact me. Christine, you may now end the call.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.